Operator: Welcome to the Reinsurance Group of America’s Third Quarter 2022 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today’s prepared remarks, there will be an opportunity to ask questions. [Operator Instructions] Please note that this event is being recorded today. I would now like to turn the conference over to Todd Larson, Senior Executive Vice President and Chief Financial Officer. Please go ahead.
Todd Larson: Thank you. Good morning. And welcome to RGA’s third quarter 2022 conference call. I am joined on the call this morning with Anna Manning, RGA’s President and Chief Executive Officer; Leslie Barbi, Chief Investment Officer; Jonathan Porter, Chief Risk Officer; and Jeff Hopson, Head of Investor Relations. A quick reminder about forward-looking information and non-GAAP financial measures. Some of our comments or answers to your questions may contain forward-looking statements. Actual results could differ materially from expected results. Please refer to the earnings release we issued yesterday for a list of important factors that could cause actual results to differ materially from expected results. Additionally, during the course of this call, information we provide may include non-GAAP financial measures. Please see our earnings release, earnings presentation, quarterly financial supplement, all of which are posted on our website for a discussion of these terms and reconciliations to GAAP measures. And now, I’d like to turn the call over to Anna for her comments.
Anna Manning: Thank you, Tom. Good morning and thank you for joining our call. Last night, we reported adjusted operating earnings per share of $5.20, another very strong quarter following the record level of earnings in the second quarter. The results this quarter include favorable performance across many of our segments and businesses. As well, new business activity and production levels were robust and encouraging, and we have started to see some tangible benefits from higher investment yields. The COVID-19 claim costs were comfortably absorbed and our underlying non-COVID-19 mortality experience was favorable in many of our markets. Segments of particular strength this quarter include U.S. and Latin America Traditional, Asia Traditional and U.S. asset-intensive. In the U.S. and Latin America Traditional segment, the Individual Mortality business performed very well with favorable underlying mortality experience and a modest impact from COVID-19. The U.S. Group and Individual Health businesses also performed very well. In the Asia Traditional segment, we continue to see strong overall performance and our client-centric product development capabilities and underwriting expertise continues to solidify our market leadership in the region. Reported premium growth was 4.9% and 10.1% on a constant FX basis, reflecting the strong new business activity I mentioned earlier. We had another good quarter for capital deployment, putting $100 million into in-force and other transactions, bringing the year-to-date total to $351 million. Our transaction pipelines remain very active and broad-based across many risks and geographies and we expect this good momentum to continue. This quarter’s results helped to underscore the substantial additional value and earnings power we have added in the last few years through focused execution on our strategy and we are in a great position to continue this momentum going forward. The life insurance industry has proven its value during the pandemic and we expect the increase in demand for protection products to continue. I believe that RGA’s value proposition has been amplified throughout the pandemic, as we have worked closely with our clients, helping them navigate through increasing levels of uncertainty. Further, our client-centric partnership efforts are translating into more exclusive opportunities, as well as additional arrangements combining our value-added services and solutions. These last few years have reinforced the strength of this client strategy. For example, in the U.S. Individual market, we are seeing new business from key clients in recognition of underwriting services that accelerate policy issuance through digital and data solutions. In addition, our facultative underwriting support, which provides valuable capacity to our clients are seeing nice growth through expanded programs and new clients. In Asia, I am very pleased with work we have just completed for a large market leading client to develop an innovative first to market product, providing access to protection that was previously not available. Because of RGA’s leadership and partnership and the development efforts, this new product will be co-promoted within our client’s large distribution network, creating value for their distributors and consumers, while also enhancing RGA’s visibility and brand recognition. In another recent example, our team in Italy closed its largest health deal to date with expected annual reinsurance premiums of over $50 million. We delivered a novel reinsurance structure to address specific client needs by leveraging the deep market knowledge of our local Italian team, combined with the experience and expertise of our global health team. These are just a few examples of partnership initiatives with our clients that help to differentiate us, while also providing us the ability to better manage competitive dynamics. Turning to another important earnings growth lever, interest rates, higher interest rates and investment yields are a notable earnings positive for us, as future cash flows in many of our biometric businesses can be reinvested at higher rates than in the past. What for us had been a steady headwind over many years, is now moving into becoming a measurable tailwind and we would expect to see continued benefits going forward if these higher rates are sustained. We have a great franchise and we are well positioned around the world. Our business is resilient. We have successfully managed through periods of elevated risk and uncertainty and this quarter continues to demonstrate our many strengths. As I think about the future, I am very encouraged by the dynamics we are seeing in the underlying life insurance industry, and I remain optimistic and confident in our ability to continue to create substantial long-term value for our investors. Thank you for your interest in RGA. I will now hand it over to Todd to review the detailed financial results.
Todd Larson: Thanks, Anna. RGA reported pre-tax adjusted operating income of $452 million for the quarter, and adjusted operating earnings per share of $5.20 per share, which includes a COVID-19 impact of $1 per share and a foreign currency headwind of $0.15 per share. We consider this to be a very strong quarter and demonstrates the strength of RGA’s earnings power. We are pleased with the performance across the range of fundamental metrics such as new business production, premium growth, capital deployed into transactions, underwriting results and investment returns. The trailing 12-month adjusted operating return on equity was 7.9%, which is net of estimated COVID-19 impact of 3.9%. Turning to the segment results listed on slide six and seven of the earnings presentation. Reported premiums were up 4.9% after adjusting for adverse foreign currency impact of $160 million. Premiums were up 10.1% on a constant currency basis, highlighting good business momentum across our various segments. Because of the significant currency movements in the quarter, I wanted to give you a region-by-region summary. Canada Traditional reported premium increase of 1.2% and in constant currency increased 5.2%. EMEA Traditional reported an increase of 0.9% in premiums. However, in constant currency premiums increased 16.7%. Asia-Pacific Traditional reported a 5.4% increase in premiums and in constant currency were up 13.4%. Now turning to the segment earnings results. The U.S. and Latin America Traditional segment results were very strong, reflecting both favorable Individual Mortality experience and modest COVID-19 claims that totaled approximately $52 million. Variable investment income was in line with our expectations, although below the recent run rate. The U.S. Individual Health business had favorable experience overall, including an assumption update to the disabled life reserve. Our Group business results were above our expectations as most lines performed well. The U.S. asset-intensive business results reflected favorable overall experience and higher investment spreads. Our Capital Solutions business continues to perform well and within our expectations. Both the Canada Traditional and Financial Solutions segment results were in line with expectations with COVID-19 claim cost of $3 million. In Europe, Middle East and Africa segment, the Traditional business results reflected unfavorable U.K. mortality experience, partially offset by favorable results in other markets. COVID-19 claim costs were $5 million for the quarter. EMEA’s Financial Solutions business results were somewhat below expectations, reflecting some client reporting updates. Turning to our Asia-Pacific Traditional business, Asia results reflected favorable underwriting experience across the region, absorbing COVID-19 claim costs of $7 million, primarily in Japan. Australia reported a modest profit in the quarter driven by favorable group experience and absorbing $1 million of COVID-19 claim costs. The Asia-Pacific Financial Solutions business results were impacted in the quarter due to $21 million in COVID-19 related medical claims in Japan for in-home sickness benefits, but would have been strong otherwise due to new transactions and higher yields. As you have heard from others in the industry, and as Jonathan will shortly discuss, we expect the volume of these claims to decrease materially going forward. The Corporate and Other segment reported a pre-tax adjusted operating loss of $56 million, higher than our expected quarterly range due to higher general expenses and interest expense. I would note that on a year-to-date basis results are in line within our expected range. Moving on to investments on slides eight through 10 in our earnings presentation. The non-spread portfolio yield for the quarter was 4.4%, reflecting variable investment income that was lower than the recent run rate, but was positively impacted by a much higher new money rate, as well as some benefit to existing floating rate securities. For non-spread business, our new money rate rose to 5.35% in the quarter, compared to 3.31% in the fourth quarter of last year, a fairly good increase in a short period of time. The new money rate benefited from an increase in both risk-free rates and credit spreads. Looking at a base yield, which is before variable investment income, we have moved from 3.78% in the fourth quarter of last year to 4.12% this quarter. Meanwhile, credit impairments were minimal at $14 million and we believe the portfolio is well positioned as we move through a more uncertain economic environment. As shown on slides 11 and 12 of our earnings presentation, our capital position remained strong and we ended the quarter with excess capital of approximately $1.3 billion, which includes an incremental increase from the recent hybrid debt issuance. We deployed $100 million of capital into in-force and other transactions and continue to see very attractive deal pipelines. We also returned a total of $75 million of capital to shareholders through share repurchases and dividends. We believe our well diversified global platform and underlying earnings power positions us to continue to support our clients and deliver attractive financial returns to our shareholders over time. I will now turn the call over to Jonathan Porter, our Chief Risk Officer.
Jonathan Porter: Thanks, Todd. Overall, non-COVID-19 claims experience was favorable this quarter with notable positive contributions in the U.S. and Asia. COVID-19 claim costs were moderate with an estimated impact of $89 million this quarter, down significantly from the $485 million reported in the same period last year. Starting first with U.S. Individual Mortality, strong overall underwriting results reflect favorable non-COVID-19 large claims experienced in the quarter. Estimated COVID-19 claim costs of $45 million in U.S. Individual Mortality were $11 million per 10,000 general population deaths at the low end of our rule of thumb range. This result is consistent with the continuing trend of a declining proportion of general population deaths at ages below 65, where there is more life insurance exposure. Turning to Asia-Pacific, as Todd mentioned, COVID-19-related medical claims in Japan were elevated this quarter with a combined claim cost estimate of $34 million, split between our Traditional and Financial Solutions segments. This result was driven by an unprecedented number of COVID-19 infections in the Japanese general population, which saw an average reported daily case count of 130,000 in the quarter, combined with the government supported industry practice of paying claims on hospital benefit policies for at-home care to reduce potential pressure on the medical system. Looking ahead, we expect that future medical claim costs in Japan will be materially reduced for two reasons. First, new infections have dropped significantly in the general population with case counts averaging $33,000 per day in October. And second, effective September 26th, the Government of Japan changed requirements so that COVID-19 related at-home medical claims will only be covered for a subset of the most at-risk individuals, the elderly, pregnant women and those with preexisting medical conditions. We expect that this change of definition will further reduce go-forward medical claims by approximately two-thirds. Total COVID-19 claim costs on all other businesses totaled $10 million, with nothing material to note by country or segment. We remain optimistic about the favorable trends in COVID-19 claim costs and although there is still uncertainty on how the pandemic will evolve, we believe that future impacts will continue to diminish and be manageable. This concludes our prepared remarks. We would now like to open it up for questions.
Operator: [Operator Instructions] And our first question here will come from Erik Bass with Autonomous Research. Please go ahead.
Erik Bass: Hi. Thank you. So you have now delivered two quarters in a row with ROE is well above 10% and I realize there are a lot of moving pieces. But given where interest rates are and the capital that you have been able to deploy the last couple of years, should we think about your historical ROE targets of 10% to 12% being a reasonable expectation for the go-forward earnings power?
Todd Larson: Hi, Erik. Good morning. This is Todd. Yeah. No. We are proud of the strong results we have achieved the last couple of quarters. I think it, again, highlights the positive momentum of our business and our successful execution of our strategy. I would be -- we do have some seasonality and some variances that are both positive and negative. So I’d be careful just to simply extrapolate out the two strong quarters without some -- looking at a little bit closer. But given the capital we have been able to deploy over the course of the last couple of years, the underlying earnings power that we have. We are not going to -- we will update some of our targets as we get into next year under the new financial reporting base fees. But I would say, based on what we are seeing, definitely, there’s some upward pressure on what we can deliver from the ROE front, if things continue the way they are.
Erik Bass: Thank you. And then maybe a question for Jonathan, so hoping you could talk a little bit more about the mortality experience in the U.S. this quarter. And as COVID cases are coming down, and you are starting to get more data, are you seeing non-COVID mortality trends normalize as well and does this change or inform your view at all about sort of a pull-forward of claims that may have happened during the pandemic?
Jonathan Porter: Yeah. Sure, Erik. So, first, I mean, as we know, it was a good quarter for experience in U.S. Mortality -- Individual Mortality, which is great to see. A lot of the non-COVID gains this quarter were driven by large claims positive, so lower than expected large claims, which is the main contributor. As far as excess mortality goes, we did see an increase in the general population, excess mortality according to CDC data this quarter. We didn’t see this translate into a material impact in our claims numbers, though, for the U.S. Individual business, and again, any amount that would have been in there would have been more than covered by the favorable experience on large claims. One other point to note is we did have a favorable experience in our U.S. Group mortality results as well. So I think all those point to excess mortality not being a major driver for us this quarter. Thinking about the pull forward of mortality, it is likely we are getting some benefit from this. We believe it’s a modest tailwind though. So we haven’t changed our view on this from prior quarters and it will be spread out over a number of future years. Of course, it’s difficult to estimate exactly what that pull forward is given some of the variables involved in the calculations. But, yeah, I do think that will help create some more momentum. I think if we think about COVID evolving going into 2023, I would still expect that we are going to see a net headwind from COVID even after taking into account that pull-forward benefit that we might be seeing.
Operator: And our next question will come from Dan Bergman with Jefferies. Please go ahead.
Dan Bergman: Thanks. Good morning. I guess with all the moving pieces, I wanted to see if you could help quantify some of the variances in U.S. Traditional this quarter, including how underwriting results compared to your expectations in Individual Group and the Individual Health businesses, as well as that Individual Health assumption update that you mentioned. And just given the recent premium growth and the benefit you are hopefully seeing from higher interest rates and any updated thoughts on the run rate annual earnings level you would expect in U.S. Traditional would be helpful?
Todd Larson: This is Todd. I guess I can start and please if anyone can chime in. Maybe I think you asked about the Individual Health assumption updates. Maybe I will address that one first is that, in normal course, we always look at our underlying assumptions. And this relates to the disabled life reserve, which is based on best estimate assumptions and we did a fairly comprehensive review of the assumptions that -- went to the reserve calculation and we ended up updating the termination and utilization rates that resulted in that positive adjustment to income. On the U.S. Traditional side, we had what we would view as positive variances from both COVID and non-COVID experience, a portion of the positive on the non-COVID related to the amount of large claims that we, I guess, didn’t receive in the in the quarter. And as we have talked about in the past, the large claim is going to create some volatility period-to-period, but over time they are fairly predictable.
Dan Bergman: Got it. And just maybe just a follow-up, in terms of those underwriting variances, is there anything you can give in terms of quantifying, like, how those came in relative to what you would expect in a normal quarter?
Todd Larson: Yeah. We are not providing sort of an overall new run rate at this point, but we will provide some good new targets as we get into next year. But I would just comment that certainly, the higher interest rates will be a positive, will be a tailwind to the overall U.S. Traditional business, as well as the underlying business, excluding the COVID impacts is performing quite well. So I think we hopefully should see some positive impacts as we go forward.
Leslie Barbi: Hey, Todd. It’s Leslie. I thought I’d chime in as well since you asked about the tailwind from interest rates and last quarter we had given an estimate of $70 million more income for -- over the next 12 months, given the rise in rates year-to-date and certainly rates continue to rise. So we would up that estimate over the next 12 months by $30 million or so. So call it $100 million over the next 12 months from -- if we stay at the current level, so another $30 million. Although, that’s for the non-spread overall that you asked.
Operator: And our next question will come from Ryan Krueger with KBW. Please go ahead.
Ryan Krueger: Thanks. Good morning. My first question was just a follow-up on the last comment. Is the $100 million over the next 12 months, is that incremental from here? In other words, like, not from kind of lap, is it forward looking…
Leslie Barbi: No.
Ryan Krueger: … from over the next 12 months from today?
Leslie Barbi: The incremental from where we are now, I would look at the additional interest rate move, so that would be the additional $30 million or so. But over the next 12 months…
Ryan Krueger: Got it.
Leslie Barbi: … $100 million, yeah, so -- but we had already been expecting some of that a quarter ago.
Ryan Krueger: Understood. Understood. Then other question was, could you -- Asia had really strong earnings. Can you give any sense of, I guess, anything in terms of kind of where you would expect run rate earnings in that business to be or how much -- how favorable the results were in that business this quarter?
Todd Larson: Hey, Ryan. It’s Todd. We are not updating the run rate at this point. We are still in that $45 million to $50 million a quarter on the Traditional side. We did have a very strong quarter in Asia this quarter. I’d say about half of that variance from the run rate was underlying experience favorability, and then the other half was, again, on a -- periodic basis, we update models and assumptions across all the different regions and that contributed a positive impact of about half of that variance. So, about half experience, half assumption, modeling updates and also client reporting updates.
Operator: And our next question will come from John Barnidge with Sandler O’Neill. Please go ahead.
John Barnidge: Thank you very much. You are seeing strong topline growth and opportunities for in-force block transactions. Can you maybe dimension how much of that 10% constant currency is rate versus new business? Thank you.
Todd Larson: I would say a good part of the 10% -- some of it relates to the in-force growth, but most of it would be from the impact of both organic new business and any transactional, transact -- anything that we have done on the transactional side that would come with premiums. We are still comfortable with the overall target that we have provided in the past of that mid-to-high single digits, but we continue to see some good momentum across the various geographies and good appetite for protection products and continuing to work closely with our clients on product development opportunities.
John Barnidge: Thank you very much. And then my follow-up question. Provided LDTI commentary on impact on the balance sheet, but we started to hear others talk about the earnings benefit or headwind from it. How are you thinking about it impacting you from an earnings perspective as we think about it, it’s a very lead from a conceptual standpoint? Thank you.
Todd Larson: Yeah. From a -- I will answer it from a conceptual standpoint, because we are not prepared to provide any numbers at this point. But as far as when we add on new business, we won’t be including provisions for adverse deviation and the reserves anymore as we do under old GAAP. So I would think that would be a positive to current earnings on new business. We did -- for the transition balance sheet need to eliminate some of what we call negative reserves primarily on the longevity business. So that should come back through income over time. We don’t expect a significant impact from changes in the DAC amortization. But I would say, those other areas should be positive, but again it’s difficult to quantify at this time.
Operator: And our next question will come from Jimmy Bhullar with JPMorgan. Please go ahead.
Jimmy Bhullar: Hi. Good morning. So, first, I had a question for Todd on share buybacks. You are -- you have sort of resumed activity, but it’s been fairly modest in the last few quarters. Wondering if that has to do with just ongoing uncertainty with COVID or is it more of a reflection of just the opportunity that you are seeing in terms of deal pipeline and growth in the business?
Todd Larson: Yeah. Thanks, Jimmy. Yeah. So we did have an increase in the excess capital position quarter-after-quarter, but that was primarily -- we did the hybrid transaction back in September and we got pretty strong receptivity the day we went out for that offering. So we decided to upsize it a little bit above what we needed to refinance an existing security. So that was really why the excess increase during the quarter. The net income for the quarter pretty much funded organic growth and transactional activity and the dividends and share repurchases. I think as far as the level of share repurchases, I think, you have seen over time, we have been fairly balanced, but we are pretty optimistic and we are seeing an attractive transactional pipeline across all of our different geographies right now. And I think as we have been pretty consistent in the past, we would like deploying the capital back into the business where the transactions we can get an appropriate return and support our clients.
Anna Manning: Yeah. Todd, if I can add. We do see very strong pipelines and strong demand for what we do and what we deliver. In my prepared remarks, I shared some examples, and really it’s pointing to two of the strong pillars of our strategy, which are the create and partnership pillars of our strategy, working directly with clients, creating either new products, new underwriting processes, journeys. And what that does is, it moves us from having to compete to being in exclusive arrangements. And so if you think about our growth, our growth levers really come from three different dimensions. One is just the underlying growth in the life insurance industry, the second is growth in session rates, and the third is growth in our market share. Well, in instances where we are exclusive, we are really hitting on all three levers. We are helping clients grow their business, so grow the underlying market and we are essentially getting 100% of the reinsurance market share on that because we are an exclusive. So strong demand, we are really well positioned right around the globe and I expect the momentum -- we expect the momentum to continue as we go forward.
Jimmy Bhullar: Okay. Thanks. And then maybe for Jonathan on COVID claims, we had seen a spike in cases and deaths in Japan because of COVID and then, obviously, it subsided through the end of -- close to the end of the quarter. As you think about -- and you mentioned the hospitalization and deemed hospitalization related claims, as you think about the reporting of those, I think, in some cases, there tends to be a little bit of a lag in reporting in foreign countries, would you have caught up to all of that and assume an IBNR was some component in your reporting?
Jonathan Porter: Yeah. So the charge that we took related to the Japan medical claims this quarter was primarily IBNR -- almost all IBNR just given the lag in reporting that you mentioned. We are quite comfortable with our methodology and process for setting up that level of IBNR. And I believe subsequent to the quarter, we have actually received some statements that have sort of given us no reason to be concerned about the level that we set up. So, overall, I think, we are very confident with the estimate that we have there.
Operator: [Operator Instructions] Our next question will come from Alex Scott with Goldman Sachs. Please go ahead.
Alex Scott: Hi. First question I had is just on the longer term mortality expectations. I think you guys have talked in recent quarters about having an ongoing study of just expectations for longer term mortality and implications of COVID. So I just wanted to see if you could provide any kind of update on that, any shifting one way or the other of your thinking there?
Jonathan Porter: Yeah. Hi, Alex. It’s Jonathan. So, no change to our views that we have talked about in the last quarter, I think, we continue to be encouraged by the favorable trends we are seeing in COVID-19 claims from what we have seen over the last couple of quarters. I think consistent with expert views we do expect future variance in waves of infections and hospitalizations to continue, but at a declining rate as we go ahead. The -- I think there’s also a wide range, obviously, around depending on what assumptions you use for the various underlying projections that you do. But I think we remain bullish on long-term mortality improvement overall.
Alex Scott: Got it. Okay. Thanks. And the other question I just wanted to ask you is on SGUL. I think I am sure you are well aware. We have had some volatility from some of the primaries in terms of some of these Universal Life books. So I just wanted to, A, confirm like any exposure you have there, and B, any appetite for potentially doing reinsurance if assumptions have been level set to the right place there?
Anna Manning: Yeah. Thanks for that question. I will start and then offer up to my colleagues if they have anything to add. So, Alex, let me start with -- we have looked at this risk in the past, both from a flow new business basis, our traditional reinsurance and on an in-force block basis. And as we have discussed with you before, we haven’t been able to get comfortable with the risk return profile. The bid ask spread was just too wide and so we haven’t participated. That is not a risk that we have on our books right now. And I will point out that it’s really no different to what we have done on some other risks or when there are other unfavorable market dynamics, at least as we view them to be unfavorable. If the opportunity doesn’t pass our risk return filter, then we will be patient and we will watch and we will monitor for changes. So we can do this because, A, we are a global reinsurer, we have both flow reinsurance and in fact, we are one of the leaders in flow reinsurance and in-force blocks. So our -- we have many growth levers to pull, which means that we aren’t overly reliant and we are patient and discipline. Now conditions move, they change, and as they do, we will look at it again, we will check to see if risk return trade-offs are more attractive. But we will also look at other factors, like, the competitive dynamics and what the likely sell-side drivers maybe, and frankly, whether we are a good partner given all of those things and then act accordingly. So that’s what you can expect from us on the go-forward on this risk. On the actual risk itself, we don’t have the policyholder behavior is. But I will remind you that we have the mortality associated. We provide regular YRT type of mortality protection on these products.
Alex Scott: Got it. Thank you.
Operator: This will conclude our question-and-answer session. I would like to turn the conference back over to Anna Manning for closing remarks.
Anna Manning: Thank you for your questions. And as we have noted throughout this call, this was a strong quarter and we are very pleased with the demonstrated earnings strength that is coming through, especially in the last two quarters. We have a resilient and valuable platform. Our teams are highly engaged and excited, working closely with clients to bring solutions to address the protection needs highlighted by the pandemic. So let me end by repeating how optimistic and confident I remain in our ability to continue to create substantial long-term value for our investors. Thank you for your continued interest in RGA and that concludes our third quarter call.
Operator: The conference has now concluded. Thank you very much for attending today’s call. You may now disconnect your lines.